Operator: Good afternoon, everyone, and welcome to TILT Holdings First Quarter Earnings Conference Call and Webcast. Today's call is being recorded for replay purposes. A replay of the audio webcast will be available in Investors section of the company's website approximately two hours after the completion of the webcast and will be archived for 30 days. I would now like to turn the conference call over to your host, Lynn Ricci, Head of Investor Relations. Thank you and over to you. 
Lynn Ricci: Thank you, Hemant. Good afternoon, everyone, and thank you for joining us. Earlier today, we issued our first quarter 2022 earnings press release. The press release along with our quarterly financial statements and MD&A will be available on SEDAR, as well as on our website at www.tiltholdings.com. Please note that during this afternoon's webcast, remarks made regarding future expectations, plans and prospects for the company constitute forward-looking statements within the meaning of related securities laws. Actual results may differ materially from those indicated by such forward-looking statements, as a result of various factors, which we disclose in more detail in the Risk Factors section of the MD&A, plus the three months ended March 31, 2022, filed with the appropriate Canadian securities regulatory authorities, which can be found on sedar.com. We remind you that any forward-looking statements represent our views as of today and should not be relied upon as representing our views as of any subsequent date. While we may update such forward-looking statements in the future, we specifically disclaim any obligation to do so, except as otherwise required by applicable law. On today's call, we will refer to certain non-IFRS financial measures such as adjusted EBITDA, working capital and gross profit and margin, excluding changes in the fair value of biological assets and inventories. These measures do not have any standardized meaning prescribed by IFRS and may not be comparable to similar measures presented by other companies. Management considers these certain non-IFRS measures to be meaningful indicators of the performance of our business in addition to, but not as a substitute for our IFRS results. A reconciliation of such non-IFRS financial measures to their nearest equivalent IFRS measure was included in our press release issued earlier today. On today's call are TILT CEO, Gary Santo; CFO, Brad Hoch; and COO, Dana Arvidson. Following our prepared remarks we will open the call for Q&A. With that, I will now turn the call over to Gary.
Gary Santo: Thank you, Lynn, and good afternoon, everyone. As we've discussed on our earnings call six weeks ago, the first quarter was a soft period for TILT, as well as the cannabis industry at large, as we experienced the effects of inflationary pressure on consumers, which was exacerbated by legacy product mix in our Massachusetts and Pennsylvania markets. On the non-plant-touching side of our business, our inhalation and accessories unit continued to show why it is the best in the business when it comes to navigating a still unstable global supply chain environment. The team's ability to work with our customers to facilitate efficient demand planning, along with the strategic deployment of our working capital, allowed us to get product onshore and delivered on time to their doors. Particularly challenging during this quarter though, were both an earlier Chinese New Year, coupled with delays in certain markets adopting adult use, affecting Jupiter's overall performance, both of which Dana will discuss in more detail during his comments. That said, we started to see a turn in each business line towards the end of the first quarter, with results continuing to improve through the current quarter, most notably with Jupiter posting the second highest month of sales orders in the company's history during the month of April. Entering into the second year of our B2B strategy, I am pleased to report that demand from potential brand partners remain strong, creating a robust corporate development pipeline. During the first quarter, we signed Timeless Refinery, which is also one of our larger inhalation clients. Later this quarter, we anticipate initially rolling out nine of Timeless' SKUs in our Ohio market. We also signed a multistate agreement with Toast through which we expect to initially launch their signature slices and pre-rolled products in our Massachusetts market. We expect to have 14 SKUs on shelves this summer as production is set to begin later this month. And just last week, we announced a new partnership with the social impact-driven flat cannabis brand, which will offer effects-based cannabis products to both the Massachusetts and Pennsylvania markets in the second half of this year. As we continue to activate brand partner production while still in early innings to date, our brand partner products have performed well in the face of soft first quarter wholesale demand in the states where we operate, validating TILT's strategic positioning to become the partner of choice for independent brands that seek to expand and scale. To add further context to that statement, revenue attributable to branded partnering products more than doubled on a sequential basis without any need for discounts or other types of promotional pricing. Pennsylvania in particular experienced very strong growth in brand partner revenue, effectively tripling on a sequential quarter basis, driven in large part by our Old Pal launch in the state, which included nine SKUs with another six expected to launch in June. Old Pal in Massachusetts also continues to show strong sales with new products expected to be rolled out in early third quarter. We are also in the late stages of production for brand partner 1906 in our Ohio market and expect to launch six SKUs of their successful dropped line in both tins and pouches next month. As part of our multistate arrangement with 1906 we will also be bringing their drops line into the Pennsylvania market starting with one SKU expected to hit the shelves in the third quarter. This is a particular note as the challenges associated with product approvals in these two medical-only markets are well documented and our team's ability to move products through that process continues to be a key value proposition to our brand partnerships across all states in which we operate. Our brand partner revenue now accounts for over 30% of TILT's wholesale cannabis sales, up from what was effectively a standing start back in February of last year when we announced our first partnership with the team at Her Highness. With the number of products set to hit our customer shelves later this year and the success and resilience of the limited SKUs already launched, our conviction towards our strategy remains strong. At the retail level, I'd like to note that our dispensaries in Taunton and Brockton Massachusetts, which added adult use late in the fourth quarter continue to ramp. As we have previously stated, we typically expect new retail locations to take up to 12 months to achieve scale and we are pleased with the progress made to date so far despite challenges in the broader Massachusetts marketplace. I'm also pleased to report that we recently passed the final inspection necessary for our Cambridge retail location, which should result in our being on the agenda of the next scheduled meeting of the Massachusetts Cannabis Control Commission. With only a few steps left in the approval process, we believe that this will allow our medical-only store to open its doors by mid-summer. On the operational side, we continue to make excellent progress with the reboot of our cultivation facilities as well as scaling our production capacity allowing TILT to achieve significantly improved harvest yields, higher overall flower quality and increased potency levels, which we can then deploy in both our house brands as well as those of our brand partners. Dana will provide more details on our cannabis operations during his comments. Turning to our inhalation business, Jupiter Research, you have heard me discuss the strength of Jupiter's relationship with small International Holdings, the owner and manufacturer of CCELL technology, the leading technology in the cannabis vaping market. As the only distributor with a fully built-out lab that when coupled with our cannabis lab operations, a forged Jupiter and TILT, the ability to be at the forefront of cannabis base innovation and also an appreciation of our renewed efforts as a leading distributor of CCELL, SMR [ph] has been working with us to improve margin pressure we have experienced on distributed CCELL products, while also identifying ways to reduce the impact on our working capital for the inventory required for Jupiter to carry in order to avoid stock-outs or significant delays to its customers. Jupiter has been a profitable and steady business for us, providing a counterweight to the volatility inherent in the plant-touching side of the business. And as Jupiter looks to not only continue its support of the CCELL brand but leverage its own IP to bring new products to market, having a relationship as deep and strong with a market leader such as SMR is a true competitive advantage. Before turning the call over to Brad, a few words about our 2022 guidance. When we provided our guidance on March 30, we had a good line of sight as to how the first quarter was shaping up, allowing us to incorporate macro headwinds into our internal models. Our first quarter results were only slightly off from internal revenue projections, while remaining in line with regard to our adjusted EBITDA projections. With the improvements we have already seen during the early days of the second quarter, I am pleased to report that we are reaffirming our 2022 guidance. As evidenced by the addition of our third retail store, improvements in our cannabis operations and the timing and number of brand partner SKUs we anticipate launching in the months to come. We continue to expect the majority of our growth to occur in the back half of the year, with approximately 60% to 65% of our full year revenue over that period coupled with improving EBITDA margins, driven by the continued growth in our cannabis operations. With that I will now pass the call to Brad, and return for closing remarks before the Q&A. Brad? 
Brad Hoch: Thanks, Gary and good afternoon, everyone. As a reminder all results today are presented in US dollars. Jumping right into results. Revenue in the first quarter of 2022 was $42.4 million compared to $46.8 million in the year ago quarter. For our inhalation business, we ended the quarter with $31.1 million in revenue compared to $35.1 million in the year-ago period. Regarding our plant-touching business revenue in the first quarter was $11.3 million compared to $11.7 million in the year ago period. Gross margin before fair value of biological assets for the quarter was 22%, which was relatively flat compared to the fourth quarter and down from the first quarter of 2021 at 29%. The year-over-year decline was primarily driven by customer mix in our inhalation business and lower cannabis wholesale pricing for our legacy house brands and bulk wholesale. At the operating expense level, OpEx less non-cash adjustments for stock compensation and depreciation and amortization and impairment charges in the first quarter, totaled $10.4 million compared to $7.9 million in the first quarter of 2021. As a percentage of revenue, OpEx excluding these non-cash adjustments was 24% compared to 17% with the increase due to headcount additions to support our expanded retail operations, as well as, build out for our corporate team, coupled with higher professional fees, as we move to become an SEC registrant. With our ninth consecutive quarter of positive adjusted EBITDA, we posted $1.5 million for the first quarter compared to $6.2 million, in the year ago quarter. Cash provided by operations was $4 million compared to $2.6 million, in the year-ago quarter. As mentioned on prior calls, although our working capital requirements had brought us below cash flow from operations, due to working capital requirements for Jupiter inventory, this return to positive cash flow from operations was driven by the sell-through of Jupiter stock inventory and collection of accounts receivable. Turning to the balance sheet. We had $9.2 million of cash at March 31 compared to $7 million at year-end 2021. Working capital at the end of the first quarter was $38.2 million compared to $41.1 million, at year-end. Total debt stood at $88 million at March 31, versus $86.6 million at the end of 2021. As disclosed in our press release earlier today, we completed the previously announced acquisition of our Taunton Massachusetts cultivation and production facility and concurrently entered into two sale leaseback transactions, with innovative industrial properties.  The first was a $40 million sale leaseback for the Taunton facility, which was closed earlier today. And the second $15 million sale we expect, for our Pennsylvania cultivation and production facility that is expected to close before quarter end. Taking into account the $13 million payment for the Massachusetts property, net proceeds is $42 million. On a stand-alone basis, this will be more than sufficient to satisfy the debt due in November 2022 and we will now turn our attention to other financing initiatives that will allow us to end the year, with an improved overall capital structure with extended maturities. Quickly touching on a couple of other subsequent events to the quarter. In April, we filed a Form 10 registration statement to prepare for alignment with US reporting standards and further improve our shareholder transparency. We anticipate our next filing to be a 10-Q and we'll be reporting in US GAAP for the remainder of the year. In addition, we have recently hired outside consultants to help identify and recommend controls for all key processes, to achieve Sarbanes-Oxley Section 404 compliance. Looking at the rest of 2022, we continue to expect revenue to range between $255 million and $265 million and adjusted EBITDA to range between $27 million to $32 million, both of which reflect GAAP results. With that, I'll now pass it over to Dana, for our operational review. 
Dana Arvidson: Thanks, Brad. I'd like to briefly dive into each of our businesses, recognizing that it's only been six weeks since our last earnings call. Let's begin with innovation. The first quarter is traditionally a slower quarter for our innovation business, as many of our customers accelerated orders in the fourth quarter of 2021, in preparation for Chinese New Year. That pattern was exacerbated this time, as the market was also preparing for adult-use sales in New Jersey to come online in February. The broader vape market saw some weakness in January and February and began to rebound in March. We saw stock inventory orders accelerate in March more than double what we experienced in February. And as Gary mentioned April was our second highest month of sales for inhalation. So, we believe we are through the trough as many of the large MSOs have ramped up ordering with New Jersey adult-use turning on last month.  We continue to be the leading CCELL partner in the US and we remain committed to showcasing our in-house R&D capabilities with new next-gen product launches. We will be adding to our already successful Infinity line and launching a larger format in the coming weeks. The Infinity is Jupiter's proprietary unique all-in-one disposable vaporizer that offers clients a fully customizable product and consumers a more convenient experience. We will be partnering with CCELL on go-to-market strategy pertaining to several new design innovations over the coming months with designs focused on keeping up with industry trends. For example, CCELL is expanding their rechargeable disposable line to include various volume capacities all focused on ensuring the customer can use every bit of oil and their device.  Also, CCELL is launching new 510 batteries to expand the number of options available both to consumers, offering variable voltage and power versions varying sizes and shapes and expanded functionality. In terms of longer-term R&D efforts, we have an exciting pipeline of products in development. For example, we're in the process of developing two distinct proprietary mechanisms separating Jupiter technology from the crowd and innovating delivery of refined extract formulations. As the vape consumer continues to show an increasing preference for high terpene extracts over traditional distillate formulations, this effort will position us to be on the forefront of that evolution. Moving on to our plant-touching businesses. In Massachusetts as Gary mentioned we're beginning to see solid improvements at the retail level following the launch of adult use in Taunton and Brockton in late fourth quarter. As you can imagine we have seen a swell of new customers since that time. We continue to have a high level of customer retention at approximately 70%, thanks to our team's dedication to serving our medical patients in the community. Also, we are pleased to have an increased number of adult-use consumers visiting our stores. We have nearly doubled our SKU count on both medical and adult-use products to provide consumers and patients with a diverse variety of form factors. This past 4/20 marked our first holiday with adult-use stores and the customer response was exceptional as we generated our highest day of total sales in company history. And as Gary mentioned we expect to open our Cambridge medical dispensary this summer. With over 5,000 square feet of space, this dispensary is ideally situated in a densely populated city with excellent public transportation options. We are ramping up our hiring efforts and are excited for the upcoming launch. In Pennsylvania, the vape recall in February provided us with an opportunity to showcase our differentiation to brand partners as we did not have any products recalled, while many others had to pull products from shelves. We have always focused on product safety, consistency and effectiveness for our patients. Quarter-over-quarter revenue for our Pennsylvania segment more than doubled. While the vape recall served as a tailwind in Pennsylvania, the improvements we have made to our garden in both Pennsylvania and Massachusetts over the past six months has also contributed to the momentum in our wholesale business in these markets. While it normally takes 12 to 18 months to completely reset a garden, we are on track to do it in less than 12 months. With the new LED lighting better techniques and efficiencies, we are turning out higher quality, higher THC product and significantly lowered test fail rates. Our yields are up more than four times since last year and our potency ratings have nearly doubled to the low 30% THC range, with routing times decreasing from 20 days to 10 days. Our production has also materially improved. Pre-rolled production in Massachusetts has seen increases from 500 per week in the third quarter to 5,000 in the fourth quarter and 10,000 in the first quarter of this year. As I alluded to in our last update, we reduced our time to flip our harvest rooms from five days to four hours. Our hats go off to our cultivation team for developing an improved plan and being better coordinated on harvest takedowns. This greater efficiency will be critical to our ability to grow, process and sell an increasing amount of high quality products. The knock-on effect of this is the fact that it has increased our inventory of our legacy strains and products. You will recall that during the first quarter we introduced 20 new -- excuse me, 25 new strains of flower into the gardens that will provide greater strain diversity that we expect will have a great reception in the market. Growing and harvesting these strains takes time. It is likely that they will hit the market by mid-summer. The flower we have in inventory today consists of our legacy strains. These strains which were launched over two years ago were initially well received by consumers due to their high quality and high potency. However, at this stage, they have begun to reach saturation level in the market. Our production team is working diligently with our sales team to work through our legacy inventory in anticipation of our new strains hitting the market later this summer. Moving on to Ohio. As Gary mentioned, we are prepping for the launch of 1906 brands next month. We're also completely adjusting our Ohio edible program to better align with brand partner launches over the next few months. Production of Timeless also began this week with six SKUs approved to be rolled out next month. Operationally, the team made great progress during the first quarter and the work being done today will have us well positioned to take advantage of opportunities in the second half. As the market evolves, with diversity, quality and brand strength becoming increasingly important, TILT will continue to position its business to thrive. With that, I'll turn it right back to Gary. 
Gary Santo: Thank you Dana and Brad. As I approach the end of my first full year as CEO of TILT, I cannot help but be amazed by the team that we've been able to build, the vision we collectively share, and the series of dramatic steps we have taken in support of our CPG-focused B2B strategy. As I mentioned in my letter to shareholders, at times it has felt like we have been building a rocket ship while amid flight with a relentless commitment to position TILT to be able to capitalize on improvements in the broader cannabis marketplace already underway and expected to continue into the second half of 2022. TILT has continued to execute throughout the first quarter and the second quarter is already off to a busy start. As a result, we are poised for an exciting second half. As Dana mentioned, the 4/20 holiday was a record day for TILT. However, I would be remiss if I did not highlight the Benzinga conference that also took place on 4/20. Over the course of two days, we hosted over 40 meetings with existing brand partners, potential new brand partners and investors, as well as participated on a panel discussing our brand partner strategy. If there was one clear takeaway from the conference, it was that TILT's reputation in the marketplace has dramatically changed over the past year. And amongst brands, our reputation has never been stronger. In fact the brands that we work with have been our most vocal supporters, creating a buzz in the marketplace that has brands landing up to speak with us. Each of our current brand partners seeks to continue their expansion plans within our existing footprint and both they as well as a number of potential partners have started asking about our plans to expand into new states. Even brands already in states, in which we are not operating made it clear to us that should we ever enter those states they would look for ways to work with us given the differentiated approach and demonstrated commitment to the success of our partners that they have heard so much about. This increased demand for our services has allowed us to be very intentional with our partnerships with a strong focus on cross-selling opportunities. In fact, five of the seven brand partners signed to date are or will be working with both our plant-touching and non-plant touching assets giving us the ability to offer pricing power through operational efficiencies. To that end, during the conference we were also approached by brands seeking to access those efficiencies as it pertains to managing their supply chain across all markets not just the ones we operate in. Most of their packaging and promotional materials originate from outside the US, making for a very complex and capital intensive supply chain if done incorrectly. Given Jupiter's demonstrated expertise in navigating these challenging waters since its inception, it is only natural to lend our demand planning and supply chain management capabilities to the brands we work with. This has the potential to become a profitable complementary business line and another way to create deeper and more lasting relationships with our partners, while leveraging existing assets and core competencies in the process. The team is currently working through what that might look like. So stay tuned. With our capital structure vastly improving following today's announced sale leaseback transactions as well as efforts underway to further improve upon it by year-end, we have earned the right to think opportunistically about entering new markets. We are, of course, highly focused on our current operations and have plenty of runway with our current asset base including breaking ground in New York by this summer. But we can now keep an eye toward our next phase of growth armed with a strong foundation, ready-made relationships and an incredible team capable of executing across a larger footprint. On that last point to prepare for our forecasted growth, we have consistently added bench strength over the past year including a recent revamp of our wholesale team with a renewed focus on supporting the retail operations we sell to through a dedicated portfolio expansion group. This new team will be starting in the weeks to come and we'll be highly focused on not only expanding our current wholesale footprint and deepening relationships within our markets, but also by bringing a new level of insight and best practices to support our differentiated B2B vision. We continue to attract top talent from leading operators across the industry as word is getting out about the opportunity in our business and the unique positioning we have in the marketplace. As always I'd like to end these calls by giving a shout out to the entire team at TILT without whom our vision would be nothing more than an interesting business case on paper. Their commitment and seemingly unending drive to succeed sets the pace for the rest of us. And together we look forward to delivering value for our shareholders in the coming quarters. With that, we will now open the call for questions. Operator?
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] The first question comes from the line of Aaron Grey with Alliance Global Partners. Please go ahead. Thank you.
Aaron Grey: Hi, good evening. Thank you for the questions and congrats on the capital. So first question for me. So just going on the quarter, right? So obviously with Jupiter and some of your larger clients definitely timing can be an issue with some sales coming in. It looks like that was the case here as you mentioned the strong April. I just want to get a better sense in terms of the guidance that you reiterated specifically for Jupiter. Last call, you talked about roughly 20%, I believe for the accessories business growth year-over-year. So obviously that now implies some pretty notable growth for the next couple of quarters even, if it's back half weighted. So number one maybe if you could give some color in terms of the timing of those sales and how much of it was the magnitude of it that was pushed into 2Q and then just the gross expectation that they still hold for Jupiter for the – and accessories for the full year? Thank you.
Brad Hoch: Yeah Aaron, I don't think things have changed really from six weeks ago. We're still anticipating strong growth from Jupiter for the year. You're right, the timing of some of the orders coming in was based on Gary and Dana's comments April was a very, very strong month and we anticipate Q2 will help us out there to get us to where we need to be by the end of the year, but then also in the back half of the year for Jupiter, as well as plant-touching is why we're ready to reiterate our guidance.
Gary Santo: And, you know, Aaron, we've also started to see orders from those new MSOs. We've talked about signing up late last year. We acknowledge that, they really didn't get in time to contribute to the Q4 numbers that was really our legacy folks, who are ordering up both for the earlier Chinese New Year, as well as in preparation for what they thought was a February launch in New Jersey. So we've started to see those MSOs order in size really as we ended the first quarter into the second quarter and that's a key driver behind the April results we saw. So, again, we had really good line of sight when we last spoke back six weeks ago or so. So I think we remain committed on that front.
Aaron Grey: Okay. That's great to hear. And then secondly, I guess, just both for the plant touching as well as the accessory. I just want to get some content how you look at contracting, especially as you actually start to work more with the branded products and more with the bigger players on the accessory side. Just more of the timing and the pricing just can get some kind of normalcy to better line of sight. It sounds like it's something that you guys are doing now in terms of the commentary you just provided with getting comfort for accessories for the year. So just looking for commentary in terms of how do you look at the contracting and the deals you set up whether it be with the brands on the plant-touching or with your customers on the accessory side? Thank you.
Gary Santo: Yes, I'll take that and Brad and feel free or Dana to jump in. But when we look at the brands that we signed, we're always looking for ways to cross-sell first and foremost, because we know that gives us the ability to really approach on a more broad basis our pricing construct. Whereas, if we just do contracting with them for the brand partnership on the cannabis side, you are limited in what you can do from pricing, and you have to factor into that, the products they're bringing to market, the packaging you have to use and whatever the competitive pressures in that market are. If you couple that within Jupiter hardware that, we're able to access, it's possible we can leverage some cost savings on the Jupiter hardware that translate throughout the stack which is why it's not an accident that five of the seven brands we work with are touching both sides of our business. I think on the hardware side of things, it really depends on what the product is they're looking to buy from us. We recently launched a low-cost cartridge that CCELL has provided, so we have something now that we did not have before. But we usually carry the premium side of the CCELL product lines. So, depending on the amount they're looking to buy, depending on the nature of which exact device, which cartridge with power supply, the pricing can really be on a SKU-by-SKU basis. I don't know on the brand partner side, I would say, we haven't had to do any discounting or promotional sales when launching in the cannabis markets and I think on the hardware side Brad how has that held up over time?
Brad Hoch: No, I think you're exactly right. I think we're -- the Jupiter sales team has done a really solid job as far as building those relationships with their customers. And I'm anxious to see as we build out our wholesale sales team just that collaboration amongst the teams and just continue to build the relationships. To me that's the main takeaway is the relationship building that is really helping propel the Jupiter side of the business right now.
Aaron Grey: Okay. Great. Last question for me. On the branding side, good to see the momentum there. I just want to get some color in terms of how you think about pricing pressure in certain markets as you look to increase the amount of branding mix you have in your revenue. I know it sounds like the pricing for those brands are a little bit better than for your bulk product. But as we've seen the pricing pressure does usually inevitably come for some of the more premium-priced brands. So, how do you think about at that as you make your partnerships with your brands? And then secondly and as you look to markets whether or not you think about maybe looking at the more newer markets you're going to see the higher pricing versus the more legacy markets as you expand your brand partnerships into additional states. thank you.
Gary Santo: Sure. Sure. So, I think what's important about our brand strategy is we're not just targeting the premium producers, right? I mean there's a place for them. But for us we're always trying to fill out a good portfolio mix. So, if we're going to compete for that 30% of the shelf space at the MSO, you have to have a broad variety. And I think what we've heard loud and clear from the market and we've heard other MSOs even talk about is there's the value side, there are certain form factors that matter, there's of course the premium. So, it's having a good price point at every step along the way in that grid. And that's really when you look at our portfolio what we have Her Highness is more of a high-end smaller brand versus say Old Pal which is more of a lifestyle, I don't know, I would call it a value play but it certainly is not really on the premium price side of the marketplace and we have various components in between. As we continue to look at other brands, we look for how they play in the spaces. And then we look specifically to the markets we serve to see is this a brand? Is this a form factor that will work that will play, or is it also random? And I would say that anyone coming to us pitching a pre-roll is always an uphill battle for example because pre-roll sell fine in Massachusetts on their own having everybody start dropping their brand name on top of it, doesn't make them necessarily sell better or worse. There has to be something compelling that makes us want to do something along those lines. So, I think overall our strategy there has been to keep those brands fresh, so they continue to command. Do we expect some price compression over time? I would suspect. I think what's interesting is when you look at the medical-only markets of Pennsylvania and Massachusetts and eventually once we get set up even in New York with the Shinnecock, really three out of four of the markets right now are still medical-only and have not even introduced adult-use. So, we think there's significant runway before the pricing compression starts to hit there. And given the success we've had launching the brands in Massachusetts, I think, we feel strongly that the footprint we have as well as the strategy we are employing and the brands we're looking to attract has held up. Certainly in the end you hit the nail on the head though as we start to look beyond just the four states that we're in right now. There's something to be said about taking a look at how these types of products or brands have sustained in those markets. And looking to the earlier-stage markets the more limited capacity markets that's real green grass to mow. So it's definitely in the list of things that we look for as we look at expansion opportunities. 
Aaron Grey: Okay. Great. Thanks for the color. I will jump back in the queue.
Gary Santo: Thanks.
Operator: Thank you. The next question comes from the line of Diana Toker with Canaccord Genuity. Please go ahead. 
Diana Toker: Hi, guys. This is Diana for Bobby Burleson. Thank you for taking my question. Could you maybe provide any update on your New York operations and tell if you still hoping to get the dispensary open towards the end of this year? And maybe when do you expect to see some revenue contribution out of that state? 
Dana Arvidson: Yes. Thanks, Diana. This is Dana. So we are continuing to move forward with the project in Long Island with the Shinnecock. Again focusing for the near-term on getting the dispensary tilted up and employees in the door so on and so forth. So that remains on track to be completed by the end of the year. We just recently selected a general contractor. We're having, sort of, kickoff calls with them to -- to get through the initial stages and move things forward in terms of determining when we're going to start digging and so on. So I think coupled with that a key kind of component of that will be working with the regional operators within the state to ensure that they will be able to sell product to the Shinnecock over sovereign territory lines. And we've been putting a lot of work into documenting and coming up with for example an MOU that we would put in front of the state that would outline not only the terms, but also the SOPs that we would abide by in order to accommodate that and to give them a level of comfort in doing so. And those conversations are happening right now. So as we continue to move forward with the dispensary build, we're going to be continuing the dialogue with the state and the Control Commission the OCM and go from there. But again the goal is to be in a position by the end of this year to open and to begin selling product. 
Diana Toker: Great. That’s very helpful. I’ll jump back in the queue. Thanks.
Dana Arvidson: Thank you.
Operator: Thank you. Ladies and gentlemen, we have reached the end of question-and-answer session. And I would like to turn the call back to the management for closing remarks. 
Gary Santo: Sure. Thank you, operator. Again, I'd like to thank everybody for joining us for today's call. We recognize that this was a soft quarter. And while we can take solace in hearing most operators in our markets experiencing similar headwinds know that we're never satisfied with being one of many. And we believe that the steps we've taken and the unique strategy we have position us to be able to take advantage of the growth that you hear so much about in the second half of the year. The team looks forward to continuing to work hard to earn your trust and deliver value to shareholders and we look forward to getting back together with you in the next few months to talk about how we did that in the second quarter. Thanks again and have a good night. 
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.